Operator: Good afternoon. My name is Joanna and I will be your conference operator today. At this time, I would like to welcome everyone to the Amerigo Resources Q1 2021 Financials Conference Call. All lines have been placed on mute to prevent any background noise. After the formal remarks, there will be a question and answer session. [Operator Instructions]  Thank you, Mr. Graham Farrell of Harbor Access Investor Relations you may begin your conference. 
Graham Farrell : Thank you, operator. Good afternoon, and welcome everyone to Amerigo Resources quarterly conference call to discuss the company's financial results for Q1 of 2021. We are delighted to have you join us today. This call will cover Amerigo's financial and operating results for the first quarter ended March 31, 2021.  Amerigo's CEO, Aurora Davidson will begin by providing an overview of the quarter, followed by CFO, Carmen Amezquita, who will elaborate on the financial performance of the company in the quarter. Following our prepared remarks, we will open the conference call to a question-and-answer session. Please note that due to the limited amount of time available for the question-and-answer period, we kindly ask that participants keep their questions concise as to allow enough time for all that wish to participate. If there are participants who would like to have a more in-depth discussion on matters pertaining to the results or other matters related to Amerigo’s operations the management will make themselves available through the regular Investor Relations channels. Before we begin the presentation, let me caution you that our comments and discussions will include forward-looking information within the meaning of applicable securities legislation. Forward-looking information will include, among other things, forecasts and projections about our copper production for the year, which involves known and unknown risks, uncertainties and other factors that may cause actual results, performance or achievements to be materially different from such forecasts and projections. Therefore, although we believe that anticipated future results, performance or achievements expressed or implied by the forward-looking information are based on reasonable assumptions and expectations, you should not place undue reliance on such forward-looking information. We direct you to our press release issued on May 5, 2021, and our other documents filed with the securities authorities in Canada, including our annual information form under the heading Description of the Business Risk Factors. These documents describe the material factors and assumptions that were applied in drawing the conclusions and making the forecasts and projections as reflected in the forward-looking information and the material factors that could cause actual results, performance or achievements to differ materially. Except as required by law, we undertake no obligation to update or revise any forward-looking information made in this presentation.  Thank you. And I will now hand the call over to Aurora Davidson, CEO of Amerigo Resources. Please go ahead, Aurora.
Aurora Davidson: Thank you, Graham. Good day to all. Thank you for joining us to discuss Amerigo’s first quarter 2021 financial results. I will start the call with a review of quarterly operations at MVC in Chile and then provide a corporate update. After that, Carmen will provide comments on the quarterly financial results, and we will take questions.  We are pleased to report a strong operational and financial quarter. Production results met guidance. Amerigo’s annual production guidance of 61 million tons of copper and 1.5 million pounds of moly is maintained.  In Q1 2021, Amerigo produced 16.5 million pounds of copper and 400,000 pounds of moly at a cash cost of $1.89 per pound. 45% of copper production came from first tailings and of course 55% came from historical tailings. MVC's plant availability in the quarter was 97.8%.  Amerigo’s quarterly revenue was $48.9 million with net income of $10.9 million or $0.06 per share. EBITDA was $23.3 million, which included $5 million in positive five settlement adjustments from Q4 2020.  Quarterly cash generated from operations was $20 million. Net operating cash flow in other words, cash flow, including the changes in working capital, was $28 million.  On investing activities, we used $600,000 in sustainable CapEx and received $3.9 million from the sale of shares in Los Andes Copper, which was a non-core investment.  On financing activities, we made scheduled debt repayments of $6.5 million and lease repayments of $300,000. Putting all the cash-ins and cash-outs together, the increase in cash position during the quarter was $24.5 million ending cash at March 31 was $38.6 million.  Now that is the flash report of the data for Q1 2021. I want to stress three important takeaway points before moving on to a more detailed discussion. One, we are able to maintain a stable predictable operation at MVC; two, that is meeting production goals and achieving full operational continuity and three, controlling costs. These are the three fundamental operating pillars of our company.  With these pillars working properly, we do extremely under strong copper prices and this is immediately reflected on a stronger balance sheet.  Now let’s do a little slightly deeper dive into a few subjects. In March, we experienced the highest number of COVID-19 at MVC with 23 positive cases in the month. This was a general trend in Chile following the end of the Chilean summer holidays.  COVID-19 cases at MVC have since decreased to ten positive cases at the end of April and three positive cases today. Approximately 20% of the MVC employees have now at least one vaccine. Despite the higher case counts, there were no interruptions to planned production due to the strict protocols MVC has put in place since last year.  This includes, seven days in and seven days out shifts, strict physical distancing on-premises, antigen testing on-site and traceability protocols which include completing a health survey that everyone has to do before entering MVC and which needs to be submitted and evaluated before they are allowed on premises.  You may recall that MVC and El Teniente delayed the annual plant maintenance shutdown to September of this year when we expect there will be further decreases in active COVID-19 cases. As mentioned earlier, our production results for Q1 were aligned with guidance. We continue to see higher throughput in grades from El Teniente's operation, in line with our 2021 mining plan. And the operation in Cauquenes also performed within our expectations and information.  We expect to continue to meet guidance through the year. The annual plant shutdown in MVC and El Teniente continues to be scheduled to take place in September and October and we anticipate losing eight production days due to that maintenance shutdown.  As previously reported, we have continued working on plant optimization with 9/11 metallurgic works on a low CapEx basis and without hindering production capacity at MVC. Most of the work will be completed by the end of the current quarter, together with the laboratory work and the recovery of the plant extraction of Cauquenes. Towards the end of April, MVC finished recommissioning a large rougher flotation bank to increase floatation capacity or in other words, resident times by 25%. This in theory should result in a 2% to 3% increase in production.  Production guidance for 2021 is not relying on this potential production improvements, there would be additional and we will report on their actual impact as we gather relevant operational feedback.  MVC continues to have healthy water research. They are currently at 7.2 million cubic meters of water, compared to 8.5 million cubic meters of water at the prior conference call three months ago. The depletion of water reserves through the dry season has been lower than originally projected, due to the input of freshwater from MVC's water rights.  The levels of water at hand continue to be sufficient to maintain projected Cauquenes tonnage processing without any interruptions. As we reported before, MVC is scheduled to complete an optimization project on its three water recovery thickeners to increase the rate of water recirculation within the plant from the current rate of 1600 liters per second to 2100 liters per second in September and October of this year at the time of the annual plant maintenance shutdown.  MVC’s copper price in Q1 was $4.8 per pound. Base copper price is $4.55 per pound. I will mention again the high sensitivity of MVC's financial performance to the price of copper. The copper price we had on the books on March 31of $4.08 per pound has improved. The average price in April was $4.22 per pound and today’s price is $4.55 per pound.  Each 10% increase in copper price from the $4.08 price used in the Q1 financial statements would result in $6.2 million in positive revenue adjustments during this quarter in respect to Q1 production. This is a good time to be a copper producer.  We remain bullish on copper prices and do not want to take further time on this call to elaborate on the reasons why. There is plenty of information in the media and you can also refer to our investor presentation.  And when we are speaking of copper prices, I think it is important to address one recurring question, which is how does the DET royalty work under different copper prices. This is important, because when you make your cash flow assumptions, you need to consider cash cost and the DET royalty. We essentially insured the business with Codelco through this royalty, given they provide the tailings and we provide the equipment and the operations to produce the copper and moly concentrates.  We have included an easy reference in our investor presentation which I encourage you to consult. It will provide a clear explanation than my word is. But the main takeaway points are the following: the DET royalty is a sliding scale royalty tied to copper prices; the lower the copper price, the lower the percentage of royalty; the higher the copper price, the higher the percentage of royalty.  We have different royalty ranges for the fresh tailings and Colihues Cauquenes tailings. For fresh tailings, the copper prices range from $1.95 to $4.80 per pound. At Colihues Cauquenes, the copper prices range from $1.95 to $5.50 per pound.  So what happens outside of this ranges. If the copper prices persists out of range for a period of two consecutive months, and market projections indicate that copper prices are expected to remain outside the range then, MVC and DET will meet to review and agree on our royalty factors that maintains a similar balance of profits between the parties and will have 90 days to reach any formula.  We included in our presentation which is available on our website a table showing the average DET royalty at various copper prices considering the production mix between fresh and Cauquenes expected in 2021.  Moving on to the discussion of operating costs, MVC’s cash cost in Q1 2021 was $1.88 per pound, which was 3% over guidance. Why was the cash cost higher? Mostly to maintain full operational continuity that is the quick answer. Costs were higher than budget on plant maintenance and on maintenance at Cauquenes processing equipment for a combined $0.06 per pound.  We had a higher than budget cost on grinding balls of $0.03 per pound and in reagents of grinding balls and in reagents of $0.02 per pound. A final item was higher environmental compliance cost of $0.02 per pound. These were not trivial, superfluous or error-driven cost overages.  The dollar overages on maintenance are more than a set by ensuring we have continuity of operations with no loss days of production, particularly considering that the annual plant shutdown was delayed from the start of the year to Q1 of this year to reduce COVID-19 exposure. We need to ensure that adequate maintenance is given to equipment that continues to be online until the plant can be stopped for its annual face lift.  Being on top of our environmental obligations is not negotiable. It is a core obligation of MVC, Amerigo and its officers and directors. Grinding balls and reagent input costs were slightly higher in the budget, and we have also been consuming more of both as needed operationally. We continue to be very vigilant in costs and expect that cost in Q2 and Q3 will be $0.02 and $0.03 higher respectively compared to Q1.  We also anticipate a slightly higher cash cost per pound in Q4 when we have more maintenance work and more environmental work to conduct than in other quarters. Chile’s 2021 election calendar will be a busy one. The starting point is May 15 and 16 which has been postponed from April 10 and 11 due to COVID-19, when the borders will elect governors, mayors, and city counselors, as well as members of the constituent assembly that will draft the new Chilean constitution, which will have to be voted on in 2022. Then in November of this year, Chileans will be asked to vote for the representatives in Congress and for a new President. Some parties have already held internal primaries to choose their presidential candidate and coalition primaries have scheduled for July 18. If no candidate receives at least 50% plus one of the votes in the first round of presidential voting on November 21, the two leading candidates will compete in  A runoff on December 19.  In the middle of these busy political times, sitting Congressmen have revised one project that has come to live in prior election years, which is the project to increase mining royalty taxes in Chile. As a quick background, Chilean mining companies pay corporate income tax at a rate of 27% on taxable net income and a mining royalty tax called the IEAM, which is based on operating profits and varies with production rates from a minimum of 3% to a max of 14%.  MVC is currently exempt from this tax, because it is not considered a mining company within the scope of the royalty tax. The bill to amend the mining royalty tax is being promoted by opposition Congressmen as part of the debate on how to tap integrator fiscal resources for social spending in Chile, which has been aggravated by the costs incurred to face the pandemic.  The bill, in its current shape and form has been passed by the Mining Commission and the Treasury Commission of Congress and its being debated today in Congress at large. If passed by Congress, it would move on to the Senate. The Royalty Mining Bill faced a significant opposition by the executive branch of government and the mining and industrial sectors of Chile.  The current mining royalty tax, which is based on operating profit will be superseded by the new bill, which is proposed to tax sales and the progressive based on the underlying metal price from a minimum of 3% to a marginal rate of up to 75% as copper prices reach $5 per pound.  The Chilean government estimates that the total tax load to a traditional Chilean mining company could increase from the current average of 40% to 82%, which would essentially put Chile out of range with any other mining jurisdictions. I mentioned these numbers, which of course are preliminary until the bill is approved, if at all it illustrates that there is a tendency for higher taxes and current.  However, the metrics being quoted are untenable and would significantly disrupt the Chilean mining sector, which is a key driver of the economy. Our view is that reason will prevail as has occurred in the past in Chile. Taxes will tend to increase but we expect that they will do so within reason.  Chile as a jurisdiction we know well, it is a still mature and market-driven place to conduct business in. It has strong institutions, very capable miners and professionals and a core understanding of the importance that mining brings to the economy. Just as we are bullish in copper, we are bullish in Chile and we believe that opportunities exist to replicate the MVC model successfully.  This could continue to happen through the synergies that we have with Codelco or it could also happen two new ventures with other holder of copper tailings deposits in Chile. We believe that MVC is a compelling business case as is our ability to finance growth projects we get as we did with the Cauquenes expansion.  As I mentioned at the start of the presentation, the combination of strong operational results and a high copper prices are a potent combination that generates substantial cash flow at Amerigo, which continues to improve the company’s balance sheet.  On March 31, as I mentioned before, our cash balance was $38.6 million, up from $14.1 million on January 1. Right now, Amerigo has reached an important milestone which is to have more cash at hand than debt outstanding. So what is that debt and what do we intend to do with it?  We have a $7.3 million loan with DET which we took last year to organize the payment of settlement adjustments when copper prices fell sharply. This loan is being repaid this year in 12 monthly installments at $600,000 each and the balance outstanding on the DET loan on March 31was $5.5 million. We also have bank debt originally for $100 million, which has been reduced to $41.5 million on March 31.  The schedule to pay the bank debt includes, four more semi-annual installments of $4.7 million each, payable in September this year, March and September 2022 and March 2023 plus a balloon payment of $23.5 million on September 2023.  Under the terms of the existing debt agreements, MVC can make additional loan prepayments. At current copper prices, the total bank debt could be paid as early as August leaving an adequate amount of cash in hand for working capital purposes.  This would be one extreme option to follow, which would fully eliminate the restrictions set forth in the current debt agreement and which include the requirement to do a cash sweep to the banks of 50% of the cash available for distribution out of MVC. A second option, would be to continue making schedule the payments, plus do the cash sweeps to the banks each September and March. This option would provide a certain amount of cash for distribution to shareholders depending on copper prices reduce debt more rapidly and reduce or eliminate the big balloon payment at the end of loan.  A third option is to refinance the existing debt to meet various objectives. These objective would include the release of an important amount of cash and the reduction to some extent of outstanding debt at the time of the refinance, having more manageable and even payments through a term of, say, five years, with the option of prepayments, have more flexibility to distribute surplus cash to shareholders during the term of the loan and provide MVC with access to a working capital line of credit.  Having a well structured and manageable amount of debt at MVC should not be a hindrance to increasing shareholder value. One of this options will be a undertaking in Q3 of this year and will enable the Board of Directors to reinstate Amerigo semi-annual dividend, putting in place a share buyback program or undertake a combination of both.  To close the presentation, I will share my view the two aspects of Amerigo were negatively perceived by the market for some time, which were historical operational performance issues and the high debt levels which we’re encouraged to finance the Cauquenes expansion.  On the back of recent quarterly results, and particularly the results for the first quarter of 2021, we are showing that both problems are non-issues now and the company’s debt will soon be negligible or become a structured element of our robust balance sheet. I look forward to another strong quarter in Q2 and I will now pass the time to Carmen for her comments on financial results. 
Carmen Hernandez : Thank you, Aurora. We are now pleased to present the Q1 2021 quarterly financial report for Amerigo Resources and its operating company MVC in Chile.  The first quarter showed an increase in cash generated from operations and a stronger financial position. The working capital deficit of $6.1 million that was present at the end of 2020 was eliminated and the first quarter of 2021 finished off with a working capital of $11.5 million. The change to positive working capital is a significant indicator of stronger liquidity resilience.  At the end of the first quarter, the company's cash balance was $38.6 million, an increase from the December 31 cash balance of $14.1 million. Amerigo's financial performance is highly sensitive to copper prices. Amerigo's average copper price for 2021 was $4.08 per pound, a significant increase from the average copper price of $2.35 per pound in the first quarter of 2020. Today’s LME copper price $4.55 per pound.  Another factor affecting earnings are the changes in copper price from one quarter to the next. This is so because of our M+3 price convention for copper sales, where the final settlement price is the average LME price for the third month following production of copper concentrates. At March 31, 2021, MVC's provisional copper price was $4.08 per pound and final prices for January, February, and March 2021 sales will be the average LME prices for April, May, and June 2021, respectively. A 10% increase or decrease from the $4.08 per pound provisional price used at March 31 2021 would result in a $6.2 million change in copper revenue in the second quarter of 2021 in respect of the first quarter’s production. Revenue was $48.9 million in the first quarter of 2021, up from the revenue of $16.6 million in Q1 2020. Revenue is made up of net copper revenue of $45.4 million, and molybdenum revenue of $3.5 million. Within the net copper revenue of $45.4 million, the gross copper sales were $68.1 million with positive settlement adjustments of $8.5 million. And then deducted from revenue, we had $16 million in royalties to DET, smelting and refinery costs of $4.8 million and transportation costs of $519,000.  Total tolling and production costs, including depreciation were $30 million. This represents an increase in costs of $5.4 million from the comparative Q1 2020 period. However, given the increase in production in the first quarter of 2021, the unit totaling in production costs per pound delivered decreased from $2.32 per pound to $1.99 per pound.  In Q1, there general and administrative costs of $1.2 million, compared to $701,000 in Q1 2020. The $547,000 increase in general and administrative expenses relates mostly to an increase in performance-based compensation and professional fees as well as a increase in office and general expenses.  The derivative to related parties during the quarter had a loss of $377,000 compared to a recovery of $3.7 million in Q1 2020. This derivative is measured at fair value and the difference in fair value from one quarter to the next is mostly related to the discount rate of 5 in the fair value determination.  Other losses were $1.2 million, compared to other gains of $1 million in the prior year period. The decrease relates mostly to the change in foreign exchange loss gain of $1.4 million, plus the recognition of a write-down of obsolete equipment and supplies of $749,000.  Finance expenses were $856,000 this quarter, compared to $2.8 million in Q1 2020. This difference is mostly to the result of the $1.7 million from the fair value adjustment loss on interest rate swaps recorded in the prior year period, compared to Q1 2021 to $122,000 in fair value adjustment recovery.  In Q1 2021, the company recognized an income tax expense of $4.3 million and a net income of $10.9 million, compared to an income tax recovery of $3.7 million and a net loss of $4 million in the first quarter of 2020. In respect of cash flow in the quarter, cash generated from operations in Q1 2021 was $20 million and $28.1 million after working capital changes. The company received proceeds from the sale of our investments and Los Andes copper of $3 million and the cash used in the quarter includes $563,000 used to purchase plant and equipment, repayment of borrowings of $6.5 million and lease repayments of $345,000.  Overall, there was a net increase in cash and cash equivalents of $24.5 million in Q1 and an ending cash balance of $38.6 million.  The company's debt balance at the end of Q1 was $47 million including bank debt and no loan with DET. As mentioned by Aurora, depending on copper prices from May on, MVC’s bank debt can either be repaid fully in Q3, reduced under the current finance agreement cash sweep or refinance to provide additional flexibility on the use of surplus cash. The company will complete one of these alternatives in Q3 this year.  Production results ending first quarter of 2021 continued in line with expectations and guidance. We will report Q2 2021 financial results mid-August 2021 and we want to thank you for your continued interest in the company during this year.  We will now take questions from call participants. 
Operator: [Operator Instructions] First question comes from Terry Fisher of CIBC. Please go ahead. 
Terry Fisher: Good day. Congratulations to you guys. Great quarter obviously. And Aurora, I think you answered all of the questions I had going into this from reading the material. However, just three quick ones and I’ll give them all to you upfront. So you’ll know the scope of the timing.  One is that, you’ve given us guidance and you met it in the quarter, but you don’t give us guidance for the final profitability and I am just wondering, does it surprise at all at the company? Or whether do you expect these kind of strong net profits and EBITDA?  Second question is, you is accrued taxes, which makes sense, because you had a profit. But you didn’t pay any that have been deferred and I am just wondering what sort of tax pools that are left for further deferrals when we start to pay cash taxes?  And finally, I am delighted to see the sale of the Andes Copper investment, and I am hoping that’s a sign that there won’t be any more such investments in shares of other companies or so can you just fill us in on what the strategy is there? That’s it. 
Aurora Davidson : Thank you, Terry. Those are three good questions. The guidance for EBITDA for the rest of the year, as copper prices continue at this level, we are projecting at about over $80 million considering the effect of the settlements in Q1 into Q2. Again, that’s all sensitive to copper prices.  I think we have provided in that information on our investment materials, so that people can take their own decision on what copper price they want to use for your own projections and work on that basis. It’s not a difficult projection to make and if there are any questions from anyone along the way through Harbor Access or to myself, we are happy to answer your questions.  We weren’t surprised by the results, Terry. We have a good metric system in place to monitor our performance at MVC on a monthly basis and projected for the rest of the month and the quarter. It would plug-in copper prices and moly prices. We are pretty aligned with the actual results as predicted as we work through the quarter.  Taxes, we have – we have been utilizing our pool of accumulated tax losses at MVC until the end of April. We have fully reversed our loss position, our cash loss position at as of the end of last month. We will continue to - so we are essentially starting a period of the current taxes payments. So there are no more – there is no more tax shield to us.  We are going to start making our provisional tax payments based on a percentage of sales which is the way you do your installments for taxes in Chile. As of July the 1st they are done on a quarterly basis based on your ending cash position of the prior quarter and we will be taxable there for starting as of April of this year.  And that’s just the way it is. It’s a good problem to have and you have essentially eaten up a significant amount of tax losses in this short period of time which is reflective of the strong earnings that MVC has realized.  Third question, we are happy to have orderly sold that investment in an organized sale at a good price, close to market price, a slight discount given. We sold it on a single sale. And we are not expecting to make other investments in emerging mining companies. That is not one of the uses of surplus cash that is intended. 
Terry Fisher: That’s great. Thanks very much. 
Operator: [Operator Instructions] Next question from Daniel Owen at Canaccord. Please go ahead. 
Daniel Owen: Hi, I was wondering you mentioned – great, great on your results. But you guys mentioned that you would be exempt from the IEAM tax. Can you just kind of discuss a bit more about that? And what the implications are on your tax rate if your parent co is going to be taxed? 
Aurora Davidson : Yes. We are currently exempt from the existing tax in its current morphology, because we are considered a toll processor and are at contract with Codelco. That's for copper. For moly, we currently fall below the threshold for the current tax exists. So we can speak as of what the current taxation is and how it affects MVC and those are the factual statements. Any changes to the scope of a revised spill remain to be seen.  I think it’s early to speculate on whether they would have similar positions, similar inclusion concepts for us or not, but currently, we are not as a toll producer subject to the existing mining royalty tax.  Having said that, we are remaining vigilant on what the changes could be. As stated in my presentation, if the bill were to proceed on the basis in which it is expected to present to Congress for voting, it would significantly increase the tax load – for a Chilean entity that is subject to vote income tax and royalty tax from about 40% to 82%. So, that in itself shows the magnitude of the change why it is such a out of range change that we expect that it will be significantly recently down to a more manageable and executable level. 
Daniel Owen: Great. That makes sense. Thank you. 
Operator: Next question comes from John Polcari at Mutual of America. Please go ahead. 
John Polcari: Several questions. First, what’s the CapEx cash expenditure for this year and do you have the number for next year? 
Carmen Hernandez: The sustaining CapEx is around $6 million a year. We have that within our budget for this year and we don’t have any information that would indicate a different sustaining CapEx number for next year. So, in general terms, a figure of anywhere from $5 million to $6 million in sustaining CapEx is a figure that we are working with, John. 
John Polcari: Thank you. Second question was, on an ongoing basis, what level would you be comfortable at in terms of maintaining the cash balance? Obviously, I believe you said cash balance is now, as of today equate to the loan balances, but obviously there is some optimal point where you need a certain amount of cash that you are comfortable with either as a reserve or for operating? 
Carmen Hernandez: Yes. Correct. I think a good number to speak up in terms of working capital for the company combined is around $25 million. When we are talking about a potential refinance of the company, we are also talking about including a working capital line of credit which we feel would be an important element to have to protect against cyclicality. As I mentioned in the presentation, we are quite tuned into copper prices.  Settlement adjustments are not immaterial. When you have a correction upwards, we loved it. We have $5 million of positive settlement adjustments in Q1. The opposite for recurring in a downturn and we need to protect for that because we cannot expect things not to have little glitches and little cyclical shake ups from time-to-time. But in a general term basis, working capital balance of $25 million at MVC is a healthy balance to have. 
John Polcari: Would that necessarily go up with the price of copper or not necessarily affect ongoing operations, which is because of escalating commodity prices you wouldn’t – will I’d be correct in saying you wouldn't necessarily have to have a higher level of ongoing cash balances? 
Carmen Hernandez: No, no. I think that, because I would – we’ve been out for under current scenarios. We don’t expect a significant cash cost ramp up. We are working hard to maintain our cash cost under control. So, I think $25 million just of the back of envelope is a healthy number that I could live with as a regular maintaining cash balance at MVC. 
John Polcari: Thanks. Two more big picture questions and then I am done. Some time ago, several years ago, when the original expansion was done, I believe it called for an increase in production ultimately for a much higher level and that project was broken up into two smaller incremental growth steps.  Now we are at, let’s call it $60 million annually. Is this still an opportunity to take that up to the original projected level of a number of years ago, which I believe was perhaps north of $80 million. 
Aurora Davidson : Yes. No. We are waiting for laboratory results on the final analysis that we did to sort of compare and contrast those assumptions against what we are seeing in practice at the MVC operation. That is associated with the amount of recovery that could be done from the fine fraction of Cauquenes. The results are not pointing to the same conclusion that were included in the technical report.  We will comment on that when we have the final laboratory test work. But for the time being I am saying that we have to assume that we are operating at MVC on the business at the best way possible with the existing equipment that we have there. Obviously, at copper prices of $4.50, questions arise as to what is the opportunity of realizing potential incremental production that could essentially pay for itself in a few – in a relatively short period of time.  As you don’t have the same leeway to have those discussions when copper prices are at $2.80 at $3. But we are in a different position now. But let me say that, any investment decision that the company could make in future would have to be thorough. We have to be peer reviewed and would have to be absolutely certain absolute level of expected results versus investments associated with it.  We are not in the business of just producing copper or more copper for the sake of producing more copper. We have to be in the business of producing the right amount of copper that maximizes margin and thus return to shareholders. 
John Polcari: So, and obviously, you have to assume perhaps a much lower copper price, a higher return on investment before any one we will consider expanding cash on a future endeavor, right? 
Aurora Davidson : Correct. It has to be a conservative and a responsible decision. 
John Polcari: So, there have been some opportunity or talk of opportunity of searching for an additional tailings operation over the last half dozen years. That hasn’t presented itself. Is there anything on the drawing board that would easy to believe that there is…
Aurora Davidson : I think there is more momentum to that effect coming in from a number of factors. One, of course, incentive pricing is significantly higher now. There is also the recognition that including tailings you, are conducting a true ESP operation. You are tapping into an environmentally responsible way of accessing metals.  And there is also the recognition that tailings once deserve a more responsible attention from mining companies. There is obviously an element of environmental and social liability attached to them. And there is also an opportunity to recover substantial amount of metals that are containing some of the historical deposits. Chile has a number of those deposits.  We’ve been essentially, as we print our presentation transforming environmental liabilities into economic assets, we don’t think that is a tag line. We think that that is a potential and real opportunity that that we can follow and I think that a number of things have changed in recently that point us to looking at that with a serious commitment and with a true business opportunistic outlook. 
John Polcari: So, it’s more than just a cliché that people tend to throw around. There is a perhaps an opportunity down the road to… 
Aurora Davidson : Yes. I think that there are opportunities to – the opportunities are there. It is a question of tapping into them in a way that makes technical and economical sense. And we see that those to be replicated. We are not just throwing that for the sake of having another slide in our presentation. I think that those are – that is a true statement. 
John Polcari: Thanks. My last point, maybe a little technical. But first up, I was gratified to see that you received 99.5% plus of the share of votes at the General Meeting. And my question was really to the options, which received approval of 71%, considerably less and is that perceived to be some sort of pushback against the larger amount of options?  If you could just elucidate a little bit about the rolling 10-year plan? I think there is about $8 million plus of remaining options for issuance. 
Aurora Davidson : Yes. We – yes, yes. 
John Polcari: Let me just ask a specific question before answer it, is that as to the degree that those are issued and increases the total fully diluted share count. That’s a 10% rolling number. It’s a little different than the U.S. In Canada, does it reload if you will? 
Aurora Davidson : We have – yes, we have about 6% of our issue of outstanding in options. We have included as last year our – key staff in Chile within the option brands. We feel that that is an important source of alignment with the shareholder interest and the number of shares – of options granted have increased because of that. We don’t think that we have a huge amount of options outstanding.  There is a pushback in general terms from the investor community and that is fine. But we don’t – we are not operating close to the limits by any means in respect of the options that the company is granting to officers, directors and key employees. 
John Polcari: So, just help me understand, that 10% rolling plan, does that include the historic options that have been issued? Or does it reload every year where the total… 
Aurora Davidson : I will check that for you and if you send me an email, I will give you the answer to that question. 
John Polcari: Thank you. And that’s it me. I appreciate it. Nice quarter. Thank you. 
Aurora Davidson : Thank you. 
Operator: Thank you. There are no further questions at this time. You may proceed. 
Graham Farrell: Operator. I think if there is no more questions I think we get to wrap things up. And we want to thank everyone for joining us today and we look forward to future quarters like this. 
Operator: Thank you. Ladies and gentlemen, this does conclude your conference call for today. We thank you for participating. And we ask that you please disconnect your lines. Enjoy the rest of your day.